Operator: Good morning, ladies and gentlemen. Welcome to the Trican Well Service Third Quarter 2019 Earnings Results Conference Call and Webcast. As a reminder, this conference call is being recorded. I would now like to turn the meeting over to Mr. Dale Dusterhoft, President and Chief Executive Officer of Trican Well Service. Please go ahead, sir.
Dale Dusterhoft: Thank you very much. Good morning, ladies and gentlemen. I'd like to thank you for attending the Trican Well Service third quarter 2019 conference call. Here's a brief outline of how we intend to conduct the call. First, Robert Skilnick, our CFO, will give an overview of the quarterly results. I will then address issues pertaining to current operating conditions and near-term outlook. We will then open the call for questions. Mike Baldwin, our Executive Vice President, is also available to answer questions. I'd now like to turn the call over to Rob to provide an overview of the financial results.
Robert Skilnick: Thanks, Dale. Before we begin, I'd like to point out that this conference call may contain forward-looking statements and other information based on current expectations or results for the company. Certain material factors or assumptions were applied in drawing a conclusion or making a projection as reflected in the forward-looking information section of our third quarter 2019 MD&A. A number of business risks and uncertainties could cause the actual results to differ materially from these forward-looking statements and the financial outlook. Please refer to our 2018 AIF and the Business Risks section of our MD&A for the year ended December 31, 2018, for a more complete description of business risks and uncertainties facing Trican. This conference call makes reference to a number of common industry terms and certain non-GAAP measures, which are more fully described in our third quarter 2019 MD&A. Our third quarter results were released this morning and are available on SEDAR. We did not see the anticipated sequential industry recoveries in Q3 as a result of work scheduled for the third quarter being deferred to the fourth quarter. At the time of our last conference call, we expected the Q3 2019 average rig count as measured by Baker Hughes to increase by 80% to 100% relative to the second quarter and for industry activity to be approximately 30% below Q3 2018 levels. The actual rig count, however, improved sequentially by 64%, which is down approximately 37% year-over-year. Trican's activity was also impacted by our customers' decision to move liquids-rich and dry gas completions activity into Q4 in order to better align with the projected increase in winter natural gas prices. For these reasons, Trican's hydraulic fracturing activity resulted in average of 105,000 active horsepower, which was less than our anticipated 130,000 horsepower at the time of our second quarter conference call. Overall, the drop in our Q3 revenue was a result of slow fracturing activity due to customer deferrals, lower cement revenue that track the drop in the lower rig count offset by a resilient and improved coil revenue due in part to the recent investments we've made into this business. In spite of this drop in revenue, we were able to generate positive operations results by keeping utilization high and through cost controls. Lower industry activity levels required us to evaluate the amount of equipment and number of fracturing crews to be placed in operation. As a result, we reduced our average fracturing crew count by 1, reduced the active crude horsepower by 50,000 and idled an additional 190,000. In addition to reducing the field operating crew count, we took the necessary steps of reducing our support costs. At the end of Q2, we consolidated certain of our Cement business operations, and we have now begun consolidating operations in our larger operating regions. This consolidation and overall cost reduction effort will help reduce our overall fixed and SG&A costs. We anticipate that this would reduce our cost by approximately $15 million annualized relative to our Q2 exit run rate cost structure. This is in addition to the previously forecasted $25 million of annualized savings. We also have several lean initiatives in progress that will improve our efficiencies and reduce costs later in the year and into next year. We will continue to review all opportunities to review costs and improve business operations. Furthermore, we continue to review expected activity levels to ensure that the amount of equipment we are operating aligns with these activity levels. The significant Q3 cost-saving initiatives did result in $6.5 million of severance charges. The additional potential benefit of our cost reduction efforts is that we will be selling some of our owned and now redundant facilities which, over time, will free up capital that can be used to maintain a strong balance sheet, invest in improving our business or repurchasing shares in our company. Our strong financial position will allow us to prudently evaluate the best options for the cash proceeds from these divestitures. Our third quarter saw more asset dispositions. During the first 9 months of 2019, we received proceeds of approximately $22 million from asset sales and realized nearly $6 million in gains on asset disposals. Our Q3 2019 disposals of $5 million included the sale of our remaining 5 2,250 legacy pumps and other ancillary equipment. In addition to the $22 million of asset sales so far this year, we also finalized the settlement of our insurance proceeds related to an insured fire event in Q1 2018. The net proceeds of approximately $4 million was received in October and offsets the replacement cost of certain of the current-year capital expenditures. Overall, we have realized proceeds from the disposition of assets and other related items that essentially offset our 2019 capital expenditure program. While our capital expenditures continue to primarily reflect activity and necessary maintenance capital, we have made modest investments into items that will offer a quick payback as well as improve our operational performance and meet our customers' needs. This include the addition of 10 biofuel pumps, approximately 27,000 horsepower, which continue to be in strong demand. Our total biofuel fleet is more than 145,000 horsepower. We also have introduced new large-diameter treating iron technology that reduces our costs and improves operational efficiency. Furthermore, the first quarter of 2020, we'll see the addition of new idle reduction technology that reduces emissions and fuel consumption on fracturing equipment, creating further cost savings. One large fracturing crew will be outfitted with this technology. Additionally, we have incurred modest expenditures to improve our system infrastructure, our field software and data collection systems and are already starting to see benefits from these systems through stronger cost management. The introduction of field data collection systems is allowing us to gather data that will be used to reduce our R&M expenses going forward. The company's balance sheet remains strong. When the $22 million of proceeds from the expected Q4 asset sales is considered, the company is essentially bank debt-free. We saw a typical seasonal working capital build throughout the third quarter as the company's positive noncash working capital increased to approximately $89 million from the $48 million at the end of Q2. The change in our debt during the quarter was a result of this working capital build. Liquidity remains strong with significant unused capacity on our revolving credit facility. We maintain our belief in the importance of having a strong balance sheet during this current uncertain market and will only utilize the balance sheet if the appropriate opportunity is presented. In spite of the difficult industry environment and before considering changes in noncash working capital, the company generated approximately $17 million of operating cash flow during the first 9 months of 2019. This, combined with other asset sales, has allowed the company to repurchase 7.5% of the company's outstanding shares so far this year, for approximately $27 million. Since the commencement of our 2019-2020 NCIB program in October 2019, we have also repurchased approximately 4.3 million shares. The company continues to view our ability to repurchase shares through our modest positive cash flow and through proceeds from selling nonrevenue-generating and noncore assets at prices approximating book value as - repurchasing shares at below book value as a reasonable use of these cash flows. We will continue to allocate funds to buying back shares going forward as we monitor cash flow from operations. However, our approach to share repurchases will be measured given the uncertainty in the current operating conditions. And as always, we will weigh share repurchases against other investment opportunities. I'll now turn the call over to Dale, who will be providing comments on operating conditions and strategic outlook.
Dale Dusterhoft: Thanks, Rob. As Rob mentioned, we had originally anticipated steady utilization in the third quarter as bookings were full entering the quarter. Activity levels, however, fell off in the quarter as customers deferred programs for the fourth quarter due to low natural gas prices in the summer. Trican was affected by this more than others as a number of our core clients produce a significant amount of natural gas from their wells, in particular, during flowback. It was prudent for them to defer these completions until gas prices recovered later in the year. So far in Q4, we have had very little work canceled, and as a result, we are seeing better activity this quarter than we originally anticipated, which should result in modestly better sequential results. Our second half activity forecast has not changed from what it was earlier in the year. However, there has been a shift to more of this work being completed in Q4 versus Q3. Our 8 fleets are fully booked through October and November with utilization running at the high end of our expectations at approximately 80% to date in the quarter. December will slow down as is typical due to the holiday season and customer budget exhaustion. In our fracturing service line, we are pleased with continued improvement in our job efficiencies. Our most recent Lean Six Sigma projects has resulted in average pumping hours on pad work up 20 hours per day and leading against pumping hours of 22 hours on some days. These types of efficiencies will help ensure that we are able to meet peak customer demand with the lower crude count levels. Despite anticipating a modestly better Q4, we continue to proactively manage our crews, equipment and overall cost structure. The Q3 slowdown in our business caused us to adjust our active crew count and equipment levels. As a result, we have realized incremental cost savings for our business. Some benefits from these initiatives was seen in September, and we will see the full benefit going forward. The fracturing industry remains competitive, but contract pricing has, for the most part, stabilized this year at current low levels. Although the industry was modestly oversupplied in the first 9 months of 2019, we believe our approach to disciplined pricing and parking fraction crews will maintain a more stable market and ultimately lead to better financial results as the industry rightsizes itself to the new well count. Since earlier in Q4 2018, we have reduced our manned equipment levels by more than 170,000 horsepower, and we will continue to adjust our active crews to changing industry demand. We currently have 236,000 hydraulic horsepower that is on staff. All this equipment is kept in good working order and is not cannibalized. We do not anticipate any fracturing equipment being activated in the near future. But by stacking our equipment in good working order, we can minimize future liabilities and expenses to the company from any possible future fleet requirements. We have seen our competitors also idle or move equipment out of the basin, which we believe is moving the Canadian market much closer to being balanced from a supply-demand perspective going forward. Our current cement market share continues to hold despite the lower rig count. Pricing has been stable, and we have rightsized this business to current demand. We are expecting Q4 activity to be down about 20% from Q4 2018 due to that current rig count. We are pleased with our Coiled Tubing results as activity and profitability remained strong in the quarter, and we should continue to see improved year-over-year results as activity has been holding at this level for the first part of the fourth quarter. Again, pricing in this service line has been relatively stable. We continue to have parked coil assets that could be activated with little capital, and we will look for opportunities to generate acceptable returns from the additions of this equipment into the market. Our customers remain disciplined with their capital programs. We do not anticipate increases to these programs, and our best estimate as we head into 2020 is for similar activity levels to 2019. Our customers continue to be affected by takeaway capacity issues for both oil and gas. We have retained our strong core clients going into 2020, and we expect Q1 to be fully booked for our active equipment until at least mid-March. Pricing has remained stable going into 2020, and we will continue to work with our clients to improve efficiencies, which will improve operating results. As Rob discussed, we continue to look at ways to monetize nonrevenue-generating equipment and noncore assets. While our financial flexibility will allow us to only sell assets at reasonable valuations, we expect to continue to monetize assets that we do not believe will be active in the Canadian Basin in the next number of years. Today, we have announced that we have entered into an asset purchase agreement to sell Fraction, our fluid management service line. This is a good business with good people and a loyal customer following. However, we made the strategic decision that this business was not a growth service line for us going forward, and it made the most sense for all stakeholders, being our employees, customers and shareholders, to sell the business. I want to thank all of our staff at Fraction for their commitment to doing excellent work in the water management business and being an integral part of the success of that business over the last number of years. We continue to remain focused on ways to remove stranded capital from our business, and we'll do this by finding ways for the equipment to either start generating cash flow or look to divest them. We will not harm the long-term prospects of our business through our asset sales program, and we'll evaluate various capital initiatives to improve our operations and returns to shareholders with the proceeds from these asset sales. Despite the ever-changing market, our primary goals for 2019 remain relatively unchanged. We will continue to focus on finding ways to improve returns in our active equipment through increased utilization and permanently lowering our costs. This will improve the return on invested capital we generate from our equipment. We will continue to look for opportunities to generate revenue from parked equipment or sell idle assets that can no longer be used in Canada. We will continue to focus on maintaining a strong balance sheet and returning capital to our shareholders through our NCIB program while monitoring cash flow from operations. Maintaining a healthy balance sheet is still our top priority. Lastly, our strong financial position affords us the flexibility to examine, investing in our current and new service lines to yield a quick financial return and a long-term improved return on invested capital for the company. I want to thank all of our staff as we continue to pursue excellence by working safely, providing great customer service, managing costs and improving efficiencies through our Lean Six Sigma program. This has been demonstrated by our 20 to 22 hours of pumping hours success in the fracturing business and our recent coiled tubing fracturing operation in which we stimulated a well through coiled tubing to a measured depth of 6,985 meters and a horizontal length of slightly over 4.5 kilometers. We understand that this is a Western Canadian record. Our teams in all service lines have improved their safety and service quality in this ultra-competitive market, which is why our core customer retention rate remains very high. I would like to thank all of our staff, including all the support staff, for going the extra mile to provide safe, efficient, outstanding customer service in a cost-effective manner to our clients in these uncertain economic times. I thank you for your attention today and your interest in Trican. I would like to turn the call over to the operator for any questions.
Operator: [Operator Instructions]. Our first question is from Anthony Linton with National Bank.
Anthony Linton: It's Anthony on for Colman. Just nice to see the disposition of the water management business during the quarter. I was just wondering if there's any other noncore assets you're actively looking at disposing of right now.
Robert Skilnick: So we've - subsequent to the quarter, we expect to close the sale of one property for $5 million. And then it's just - as we see opportunities, all our service line managers are looking to sell excess surplus and noncore gear. So that's the main focus right now. As I noted in the prepared remarks, we're working on other larger base consolidations, which may present incremental real estate as well. We just haven't got all that figured out at this time. And so we're continuing to work through it.
Anthony Linton: Okay. So when we think about it, you've realized about $100 million. You monetized $100 million so far in the last 12 months. $75 million of that is for Keane. The other $25 million is the noncore stuff. How would we think about the $25 million as kind of the overall plan? Is that like just getting started? Are we halfway through? Or...
Robert Skilnick: So you're talking about the third quarter number of 22 that - or sorry, the fourth quarter number of $22 million?
Anthony Linton: No. I'm talking about in the water management disposal, you talked about $97.5 million, that already have been monetized in the last 12 months. So if you back out the water management from that, let's just call it $25 million for that, and then the facility, you've kind of got - you've monetized the other $75 million is for Keane. So the $25 million, how would we think about that as kind of the overall plan?
Robert Skilnick: That's all prior. That's all done. So that's all past stuff. And then looking forward, we don't have specific guidance other than what we're talking about, the $5 million here for an incremental property and then whatever we can as far as parts and pieces go. And then the additional property that is going to come free, but we don't have a value on that yet.
Anthony Linton: Okay. No, fair enough. Figured I'd just give it a shot. Moving on and just kind of thinking about during the quarter, you moved from a $12 million net cash position to $36 million net debt position, and mostly driven by the working capital. So kind of moving into 2020, how should we be thinking about the trajectory of the working capital and then your debt levels?
Robert Skilnick: I mean at - from Q3 exit levels, we're probably not too far off of, of where working capital is generally going to run. Might be a slight build here in Q4, but I think as far as the - looking over the debt levels, generally, pure maintenance, which you can see through the first 9 months is running at about 3.5% of revenue. That's a reasonable level to track the maintenance. So anything we generate beyond that is because of our low interest payments and modest lease payments is pretty much free cash flow.
Dale Dusterhoft: Yes. And we should add, Anthony, that the proceeds from fraction will be applied to that number now, too. So that basically reduces us down to not 0, but almost there, yes.
Anthony Linton: All right. Got it. And then just one last one for me. Past 12 months, it kind of looked like your strategy has really been focused on noncore asset sales and Canadian operations. Are you considering deviating from the strategy by, say, like buying something or moving into a new geography? Or you're mainly looking to stay the course going into 2020?
Dale Dusterhoft: We always look at what's going to be beneficial for our shareholders. We don't like - and I've said this before in past, we don't like the supply-demand balance in the fracturing market in the U.S. and haven't liked it for some time. And that's why we haven't entered that market. And I think we're kind of seeing that now play out in the U.S. with being substantial oversupply and pricing dropping in that market. So that tempers our enthusiasm for entering that market. We look at things, I'm not going to say we're never going to do things, and in particular, if valuations were to drop. But overall, we remain focused on our strategy within Canada as being the prime way to focus on our business.
Operator: [Operator Instructions]. Our next question is from Keith McKey with RBC.
Keith MacKey: Just one question here. Noticed that in the financials, we see that you supplied 100% of proppant during the third quarter relative to 47% same quarter last year. Do you expect this to be typical of the dynamic going forward? Or should we expect it to go back to that 50% number? Or maybe if you could just give us some more details on the factors that play that affect that number moving from 47% to 100%?
Dale Dusterhoft: Yes. If you look at our current customer mix, we're supplying a majority of proppant to our clients. And through the third quarter, that was - we supplied 100% of it. It will probably - as we move customers around a little bit, but our core clients are committed to us supplying their sand. There's some new clients and some of our clients that may get into supplying some of their sand themselves. But the majority will still probably remain with Trican supplying the sand, unless we - there's some tenders still outstanding, some of the bigger ones in particular. I know as we land one of those tenders then we probably anticipate it to still remain, not - maybe not 100%, but high percentages of us supplying their sand.
Operator: Our next question is from Jon Morrison with CIBC Capital Markets.
Jon Morrison: Dale, although there's great fluidity to kind of produce your 2020 spending plans right now, you obviously have some long-term enduring customer relationships that go a long way back. And when you talk to those clients, do you get a sense that when they do finally firm up budgets, they're going to give you something that looks like at least a full quarter visibility? Or does it feel like it's all going to be smaller subsets of wells, and maybe that feels more like weeks or maybe a month of visibility once you finally do start to get winter programs in front of you?
Dale Dusterhoft: Yes. We've already had discussions with our long-term core clients. And that actually, our longest-term core clients give us their full year visibility for 2020 with the option to change it as commodity prices move. And as we saw in Q3, they - definitely the option to move it quarter-to-quarter, depending on where they see commodity prices usually. But they will give us an estimate of where they think the full year will be. I would say that if you go through all of our clients, our top 5 have given us pretty good indications on full Q1. And so we've got pretty good visibility on where Q1 is going to land out in terms of actual well bookings, crews committed. We would have well locations already from a lot of those clients. And our commentary that 6 of our 8 crews are in committed relationships would be with clients like that, that have given us good visibility right through to mid-March. The last part of March will be weather dependent.
Jon Morrison: You talked about the shifting of work between Q3 and Q4. Has that actually led to a net increase in what you would expect Q4 book of business to be? Or are you seeing or having conversations with some of that Q4 potentially becoming a push into Q1 at this point?
Dale Dusterhoft: No, it's an increase in Q4. And so we get - we - as I mentioned, we kept our - basically, the forecast for the second half hasn't changed for us, but it shifted to more activity in Q4 and less activity in Q3. So it's a bit unique. This hasn't happened in previous years, quite honestly. Usually, the customers exhaust in Q4 more, but we have this unique situation. And I think it was mostly with our clients, where a lot of them produce a substantial amount of gas from their liquids-rich wells, and they wanted to bring that gas back into a better price environment. And all credit to them, they're doing that now. And so we're very busy in October, November as we're completing wells. And our customers are realizing much higher AECO price than they would have in the summer. And so yes, I would say that we're not seeing any of that really being deferred into Q1 at the present time. Maybe there's something later. But I - there's more of a leading with these clients to get these gas wells on sooner rather than later so they can realize full winter pricing for more months rather than deferring them into Q1 or even deferring them into a later time frame. It's - get after it now because gas prices are actually pretty good.
Jon Morrison: Okay. Can you share whether the returns of fraction over the last 12 to 18 months were relatively in line with the broader platform or meaningfully different? And then also, do you still plan to co-market and kind of cross-sell your completion business with them? Or is it going to be 100% separate and segregated go forward?
Robert Skilnick: So just on the financial numbers, I would say generally in line with the broader business, if you exclude out some of the items like restructuring and severance, but generally in line with the broader business as a whole, maybe - actually, maybe even a touch better. I think as we looked outward though, we knew we would have to invest cash into the business to grow it to a more meaningful level, which we then saw being probably more of a drag on free cash flow into the future given the investment we would have been required to do, which wasn't in alignment with us.
Dale Dusterhoft: Yes. In regards to marketing, yes, we are going to work pretty closely with the purchaser to market whenever we can together. We have a good relationship with that company. And whenever possible, we'll work with them going forward.
Jon Morrison: Okay. Were you guys approached for that? Or did you actively shop in?
Dale Dusterhoft: We've been kind of had soft feelers out for that business for some time for potential buyers of it. And this company came forward through that process. And then we just negotiated a deal with them.
Jon Morrison: Rob, just a clarification on the buyback. Is it fair to assume that it continues to move forward as long as you're below book value and seeing net cash generation coming in, net of CapEx, independent of whether that comes from core operations or asset sales? Is that fair to your earlier remarks?
Robert Skilnick: Generally fair. I mean whether we run all the way up to a full 1:1 book value, I mean, that's a bigger question. But generally, at these levels, we will continue on the path we're on.
Jon Morrison: Okay. Maybe just one last one for me. How do you think about service line diversification at this point? And would it be fair to say that anything that you're looking at, it would need to be fairly noncompletion-oriented to try to change some of the volatility of the revenue stream that's just inherent with the pumping business?
Dale Dusterhoft: That's exactly right. That's - where we're looking at kind of 2 aspects to it, less volatile so it wouldn't be as tied to the drilling and completions drill bit, we'll call it. And the last other piece is less capital intensive. We have enough capital-intensive service lines, so there's a number of noncapital-intensive lines out there that we would look at.
Operator: Our next question is from Mike Mazar with BMO Capital Markets.
Michael Mazar: Yes. My question kind of got answered given Jon's question. But just to clarify, he was speaking about returns in terms of the Fraction business. What about margin contribution? Was it meaningfully different one way or the other, negatively or positively relative to the rest of the business? In other words, with it gone, all else being equal, would you see an uptick or downtick margin-wise?
Robert Skilnick: No. I guess - sorry, to clarify. That commentary probably could have been taken to both margins and returns.
Operator: Our next question is from Ian Gillies with GMP.
Ian Gillies: With respect to the increased pumping time, have you seen any meaningful change in crew sizes to support that, I guess, intensity of work? And/or have you seen any end of - I guess, have you seen any changes yet in R&M costs or maintenance capital? Or is it still too early to tell given the significant change?
Dale Dusterhoft: No. Actually, we haven't seen any upward change at all in either of those things. And basically, I think we're still working through some of our other initiatives to drive down both repair and maintenance and crew sizes, and they're making some progress on that going forward as well. But that's through some other efficiency projects that we have underway.
Robert Skilnick: I think just on the maintenance capital, of course, if you're pumping for longer hours, there's just a cost to pumping relative to idle times. So there is that. But your revenue is also higher in that pumping time.
Ian Gillies: With respect to the coil business, I mean, one of your peers who reported today also reported pretty good numbers in that business. Are you seeing anything in particular - anyone in particular you're capturing market share from? Is there just some sort of change in field demand for more coil? Or I guess, what's changing in that market?
Robert Skilnick: I think year-over-year or maybe 1.5 years, over 1.5 years, the big change in the coil market is lot of little players have exited that market. So the supply-demand balance is much better than it has been for a number of years. And these are smaller private companies that kind of went away in 2018. So that's probably one of the drivers. And then we've had some market share gains as we've added some units. It wouldn't be at the expense of anyone in particular area. It's just basically various customers that we've been able to grow the market share with. And a lot of that, in our case, had to do with us reconditioning some units and modernizing them and making them kind of industry-leading. And I think that's helped us kind of add to our workflow.
Ian Gillies: Holistically, as you think about some of these asset sales and cash coming in the door, does it change the view at all on trying to execute a substantial issuer bid versus just using the NCIB?
Robert Skilnick: I think our current plan is just to continue to pursue on the NCIB. We've got still quite a bit of room under that plan. And yes, I think that's the current plan. And we'll just watch as the business evolves and - because there's other opportunities we look at also. So we've got to balance everything across as to what's going to provide the best return. We can't close the door on any opportunity. I don't think we're ready to close that door just yet on some of that.
Ian Gillies: Okay. And Rob, just last one for me. On the asset sales, is there any tax impact as a result of sale, i.e., is there any cash taxability on it?
Robert Skilnick: No. This is all stuff there will be none. We've got enough operating losses, tax losses to absorb that.
Operator: There are no further questions registered at this time. I would like to turn the conference back over to Dale Dusterhoft for any closing remarks.
Dale Dusterhoft: Yes. Thank you very much for your interest in Trican today, and we certainly look forward to talking to you on our next call, which will likely be in the February time frame. Thank you very much.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.